Operator: Good day and thank you for standing by, and welcome to Goosehead Insurance, Second Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Dan Farrell, Vice President of Capital Markets. Please go ahead.
Dan Farrell: Thank you and good afternoon. Before we begin our formal remarks, I need to remind everyone that part of our discussion today may include forward looking statements which are based on the expectations, estimates and projections of the management as of today. Forward looking statements in our discussion are subject to various assumptions, risks, uncertainties and other factors that are difficult to predict and which could cause actual results to differ materially from those expressed or implied in the forward-looking statements. These statements are not guarantees of future performance and therefore undue reliance should not be placed upon them. We refer you all to our recent SEC filings for a more detailed discussion of risks and uncertainties that could impact future operating results and financial condition of Goosehead. We disclaim any intention or obligation to update and revise any forward-looking statements except to the extent required by applicable law. I would also like to point out that during the call we will discuss certain financial measures that are not prepared in accordance with GAAP. Management uses these non-GAAP financial measures when planning, monitoring and evaluating our performance. We consider these non-GAAP financial measures to be useful metrics for management and investors to facilitate operating performance comparisons period to period, by including potential differences caused by variations in capital structure, tax position, depreciation, amortization, and certain other items that we believe are not representative of our core business. For more information regarding the use of non-GAAP financial measures, including reconciliation of these measures to the most recent comparable GAAP financial measures, we refer you to today's earnings release. In addition, this call is being webcast and archived version will be available shortly after the call ends on the investor relations portion of the company's website @goosehead.com. Now I'd like to turn the call over to our President and CEO, Mark Miller.
Mark Miller: Thanks Dan, and welcome everyone to our second quarter earnings call. I'm honored to be joining for the first time as Goosehead's President and CEO. Mark and Robyn Jones founded this company over 20 years ago and they built something unique that transformed the insurance industry by providing unprecedented product choice and building an extremely talented team that puts clients at the center of our universe. I couldn't be more excited to carry on that amazing legacy and help Goosehead reach new heights. I'd like to personally thank Mark Jones for his leadership, friendship and continued support and counsel. The transition could not have gone more smoothly and the company feels well positioned for the next phase of our journey. Over my career I've been part of many great leadership teams and I've seen many good business models. However, I've never been part of anything with this much potential and I believe we have a rare opportunity to change an industry and improve the lives of millions of people along the way. So that's why I'm here on why we are buying back our own stock and why I bought right alongside the company. Let me expand on what I mean. First, the opportunity for growth in personal lines insurance is enormous. The total personal lines industry is over $450 billion. We currently have over $3.3 billion in total written premiums, but we account for less than 1% of the total market and just 4.5% of mortgage transactions in the US. As a reminder, the majority of our referral partner leads are tied to mortgage transactions. With a market that large, there is obviously plenty of white space for us to grow organically for many years to come. Second, we are perfectly positioned to capture a larger and larger portion of that market because we simply have the best people in the industry and the best business model. It is our job to execute on that opportunity. Third, Goosehead has created a wide and deep mode that we believe is extremely difficult to replicate. We have over 950,000 clients, nearly 1.6 million policies in force, over 200 carrier partners, industry leading technology, a national footprint, and more than 2300 highly skilled and motivated agents. My team and I are relentlessly focused on being the largest personal lines insurance distributor in the country in our founder's lifetime, and that's the same mission we have had since day one. To accomplish this goal it's critical that we reaccelerate growth and that that's exactly what we did in the second quarter. In Q2, we continue to see many of the same macro and industry challenges we have faced for the past two years. From 1980 to 2023, the average annual number of billion-dollar insurance claim disasters in the US was 8.5. 2023 marked the fourth consecutive year of 18 or more of these size events CPI adjusted, and this trend has continued in the first half of 2024. Many carriers have taken 20% plus price increases on home insurance over the past twelve months, but those increases have not been sufficient for them to reach their target profitability levels given inflation and bad weather frequency and severity. Until carriers feel confident, they can write property insurance profitably, they will continue putting significant limitations on appointing new agents and selling new policies. We're starting to see some early signs of relief on auto insurance, but it's too early to say carrier profitability has fully turned the corner. Despite these facts, I'm pleased to report that our team of highly skilled agents and service professionals navigated the hard market extremely well and we posted strong results that demonstrate momentum is building across the organization and growth is beginning to reaccelerate. For example, in Q2, we grew total producers for the first time in seven quarters. Total written premium increased 30% year-over-year in the quarter compared to 28% in Q1. Core revenue increased 20% year-over-year compared to 13% growth in Q1, and we reached the highest level of franchise agent productivity and company history with same store sales up 29% year-over-year. I'm incredibly proud of the way our entire team has performed in this environment and I'm also extremely grateful for the strong partnership we have with many of our largest carriers. We understand what our partners need in this environment where growth for them is easy but profitability is hard. To have a great partnership, both parties must be honest and be very clear about their expectations and commitments and both sides must commit to joint goals. We call this backing our partners play. On our side we deliver the highest quality clients wherever and whenever our carrier partners need them. We're uniquely positioned to deliver this value to our partners because of our comprehensive geographic footprint, highly skilled agents, targeted marketing approach and superior technology capability. And in return, these great partners allocate to us scarce product that keep our agents fully utilized and our clients happy. Obviously, we can't control macro factors or the pace of product market recovery, but we can focus on being a great partner that delivers attractive clients which tend to purchase multiple policies and a better loss experience and retention within respective geographic locations. You should expect us to continue down the strategic path we have discussed on previous calls, but we will begin to push even harder on the growth levers in the business. Let me give you a few examples of how. We have a three-pronged approach to add agents to our network quickly. First, hire more quality corporate agents with a larger high powered university recruiting program. Second, optimize our in-house agent staffing program, helping our existing agency owners accelerate growth by supporting their recruitment of exceptional agents. And third, increase the size and capability of our franchise development team. As of the end of Q2, we had 313 corporate agents, up from 292 at the end of Q1, and we expect to end the year with over 400 corporate agents. This summer we're quickly adding many new high-quality agents to our corporate network. The class of 2024 represents some of the best agents we have ever hired. The early results from the class of 2024 indicate that we are ramping even faster than the class of 2023. Notwithstanding the very challenging macro conditions. Where possible, we want to build around our best existing agency partners and help them develop even larger businesses. As a result, our agents per franchise continued to increase. Since the beginning of the year, we have helped source more than 150 agents that have been hired by our existing franchises. In addition, our agency owners have hired over 200 agents on their own this year. I believe the support we're providing our agency owners is building confidence within the community that they can each have the capability to grow into larger businesses with multiple agents. We now average 1.8 agents per franchise. Last year, that number was 1.5 agents per franchise. We will also be adding new franchises in key markets around the country to grow our overall footprint. To help accelerate the number of new franchises launched, we recruited Brian Slye, a Senior Sales Executive from ATT to lead our franchise development team. Brian is quickly adding key resources and preparing us for more rapid expansion in the future. In addition to adding more high-quality agents to the network, we're hyper focused on optimizing agent productivity. One of the best ways to drive agent productivity is through technology. As a company, we're making outsized investments in our technology platform to drive current agent productivity and to enable the company to scale more efficiently and the future. Over the past two years, we have built an information technology team that we believe far exceeds the capability of anyone in the industry and rivals most pure technology companies. This technological superiority has created a unique competitive advantage and is beginning to show in the numbers. For example, we've talked about quote to issue for some time now, the utilization of that technology investment has really started to take off. Our core platform has historically allowed agents to easily shop the market for the best insurance at the best price, but when it came to finding the policy, our agents needed to go into the native carrier system and reenter data. This reentry process was time consuming and suboptimal, but our QTI technology now eliminates much of this redundancy on carriers where we have built connections. Each quarter an increasing percentage of our policies are bound using our QTI infrastructure and the number of binds is growing exponentially as our agents become more familiar with this new technology. We still have a lot of opportunity in this area to drive efficiency, but I'm so proud of what this team has accomplished. To my knowledge, no one in the industry is doing what we are doing at this scale. These types of ongoing technology investments will rapidly help our agents become even more efficient and deliver a superior client experience. Another adjacent benefit of our technology comes in the relationship we establish with our carriers. In this profitability challenged environment, carriers are looking for partners that can drive economic benefit for them. Our technology platform delivers our partners great clients that have been accurately underwritten to their unique specifications and subjected to rigorous quality control processes. Historically, most of our technology investments have been directed towards enabling sales productivity, but we believe there is tremendous opportunity to use the same technology to drive scale and quality in our service department. Services, by far our largest cost center and many of the tasks they perform can be automated, freeing our agents to deliver an even better client experience. Improving quality and reducing costs with automation will help us significantly widen our competitive moat and expand margins. With this operating playbook focused on reaccelerating growth by adding more agents across the country and strategically investing in technology and service, I believe we are well positioned to deliver strong revenue and earnings growth in the back half of 2024 and accelerating growth in 2025. There is still much to be accomplished, but the next phase of our evolution is well mapped to and we will continue to thoughtfully focus our investments on people and technology that better serve our clients and carrier partners. In my prior experience, we would often refer to a rule of 40 company as an excellent benchmark for measuring success. That is to say, the combination of revenue growth and EBITDA margin added up to 40%. Earlier this year I said I believe our company can reach a rule of 60 level over time. We're not there yet, but I still believe that statement to be true if we follow our strategic plan and focus on what we can control. I want to thank our clients, employees, carriers, sales partners and shareholders for their tremendous support on our continued journey. With that, let me turn the call over to Mark Jones, Jr, our CFO.
Mark Jones Jr.: Thanks Mark and good afternoon to everyone on the call. In the second quarter of 2024, we continued to accelerate on our first quarter momentum with total revenue, core revenue, franchise producer count and corporate agent count all accelerating from the first quarter of 2024. While the carrier product market remains very tight, we've stayed maniacally focused on what we do best, delivering value for our clients our agents, our referral partners and our carrier partners. At quarter end, total franchise producers were 1995, up from 1963 as of the end of the first quarter of 2024. Our agency force is healthier than ever as our franchises continue to scale, growing our producers per franchise for the sixth consecutive quarter to 1.8. As we have discussed in the past, franchise onboards a producer and improves the productivity of everyone in that agency, creating exponential growth opportunities. Productivity per franchise is up 54% year-over-year and same store sales is up 29% year-over-year as the additional technology enhancements and management resources that focus on our largest distribution arm continue to take hold. Considering the backdrop of the personal alliance carrier market coupled with the continued cooling in the housing market, these productivity improvements are all the more impressive. In the second quarter, the average gross paid to our franchises increased by 62% over the previous year, further demonstrating the resiliency of the model and the health of our agencies. Corporate producers at quarter end were 313, up from 292 at the end of the first quarter and 280 as of the end of the second quarter of 2023. The career path we're able to lay out on college campuses that includes multiple exciting options for young and hungry graduates, including the ability to progress into management to further expand our corporate team, opening their own franchise and blazing a path to a seven-figure income or leveraging the experience they gain on the front lines into other value add positions like carrier management training or partnership positions. This value proposition is allowing us to attract top talent which we can immediately see in the production of our June class. This should help drive future growth by lowering the attrition with an improved success rate and expanding the potential pool of future managers. We're excited to continue to grow the corporate team and now expect the headcount to be in excess of 400 by year end. While the personal lines industry remains in the hardest cycle in our company's history, we're not waiting for the market to turn before we act. We will continue onboarding producers strategically so that when our carrier partners reach rate adequacy, we are ready to deliver rapid growth with a larger and more productive agent force. An interesting phenomenon is happening in our business right now. Our first-year agents have no historical context of what a soft personal alliance market looks like. All they know is that they have great tools at their disposal to help them win business in any market. One example is our proprietary referral partner search tool, which allows agents to be precise in their marketing efforts, targeting only those loan officers and realtors who are doing the most volume. As our agents doubled down on their marketing efforts, we've seen a 29% increase in lead flow per agent when compared to the prior year period. This, coupled with our improved recruiting standards, has led to first year agents in both the corporate and franchise networks delivering some all-time highs in productivity. What this means is as the market softens, it will be uniquely positioned to expand their productive capacity even further. Turning to our results, total written premiums, the leading indicator for future revenues, grew 30% over the prior year period to $999 million. This includes franchise premium growth of 35% to $793 million and corporate premium growth of 15% to $206 million. We continued our trend of accelerating new business premium for the third consecutive quarter with franchise new business premiums up 29%. While we are continuing to experience a temporary moderation in our client retention driven by carrier pricing actions resulting in more shopping behavior from our existing clients, we expect that this will abate as year-over-year pricing increases inevitably. Slow improving client retention coupled with accelerating new business generation give us confidence in our intermediate term goal of a 30% compound annual growth rate and total ridden premium through 2027. Total revenues for the quarter grew to $78.1 million, representing 13% growth over the prior year period, with core revenues of $73.4 million representing 20% growth over the prior year period, both accelerating sequentially for the second consecutive quarter. The strategic decisions we've made over the last two years are beginning to bear fruit in our core revenue growth. Costs of measures we have taken to improve agent productivity, recruiting and investments in technology impact our earnings in real time, but take much longer to flow through revenue growth as improving new business converts to renewal. We are confident, however, that these investments will drive strong growth and profitability over time. Significantly lower franchise turnover resulted in cost recovery revenue for the quarter declining by 49% compared to the prior year period to $1.9 million, driven by a reduction in accelerated franchise fee revenue in connection with turnover. During the quarter, we terminated or transferred 52 operating franchises compared to 115 operating franchises in the prior year period. As we consistently improve the health of our franchise network, we expect the total turnover to continue to decline. Looking forward to 2025, we expect to grow our operating franchise count, which should result in a more normalized cost recovery revenue growth rate. Contingent commissions in the quarter were $2.2 million, representing a 44% decline over the prior year period, driven by challenging carrier profitability. While we outperformed our expectations for contingent commissions in the second quarter, our outlook for the full year remains unchanged. We continue to expect approximately 35 basis points of total written premiums to be earned as contingent commissions as we believe there remains uncertainty on end of year outcomes given the recent high frequency of weather events in Texas. We do believe that continued rate increases and underwriting actions taken by our carrier partners will ultimately bring the industry to improving levels of profitability, which should drive improvement in contingent commissions over time. Policies in force grew 11% versus the prior year quarter. We now believe the policies enforced growth rate has bottomed and will reflect to accelerating growth in the third quarter. Client retention for the quarter was 84% compared to 85% as of the end of the first quarter. We also believe that client retention will begin to improve as homeowners premium rate increases begin to inevitably slow. Adjusted EBITDA for the quarter grew to $24.7 million compared to $23.1 million in the year ago period. This included employee compensation and benefits expense growth of 14% driven by increased headcount across the organization and G&A expense growth of 23% due largely to investments in technology. We expect G&A expense growth in the remainder of the year to be lower relative to the second quarter level. We remain very focused on cost controls and expect to deliver adjusted EBITDA margin expansion for the full year, with the majority of that taking place in the fourth quarter. We continue to demonstrate the cash flow power of our organization during the quarter, generating $18.9 million in cash flow from operations, up 14% from a year ago. Because we have managed our company conservatively, our strong balance sheet gives us multiple options to enhance shareholder value. During the quarter we utilized $63.2 million of our share repurchase authorization to invest in our own stock, retiring over one million shares from our public flow. We remain incredibly confident in our long-term growth and earnings potential and will continue to be opportunistic with share repurchases and other actions to further enhance shareholder value. At the end of the second quarter, we had $23.6 million of cash and cash equivalents. Our unused line of credit was $74.8 million and total outstanding notes payable balance was $98.1 million. Our net debt to EBITDA on a trailing twelve-month basis is just over one times, providing us with significant flexibility for future capital return as we see appropriate to drive shareholder value. We are reiterating our guidance for the full year 2024 as follows. Total written premiums placed are expected to be between $3.62 billion and $3.82 billion, representing 22% growth on the low end of the range and 29% growth on the high end of the range. Total revenues are expected to be between $290 million and $310 million, representing 11% organic growth at the low end of the range and 19% organic growth at the high end of the range. Adjusted EBITDA margin is expected to expand for the full year 2024. Thank you to our team for delivering a fantastic second quarter and continuing to make strides on our path to industry leadership. With that, let's open up the line for questions. Operator?
Operator: And thank you. [Operator Instructions] Please stand by where we compile the Q&A roster. And one moment for our first question. And our first question comes from Matt Carletti from Citizens JMP. Your line is now open.
Matt Carletti: Hey, thanks. Good afternoon. Mark, in your opening comments, you commented a little bit about product availability, if I heard it right, maybe starting to see things improve a little bit on the auto side, but maybe not quite yet on the property homeowner side. What's the house view there? Do you expect that improvement to come in shorter term order now that we're hopefully past kind of Q2 CAD activity that a lot of carriers are exposed to and maybe more exposed to given recent reinsurance changes or any color you can give in generalities on kind of the conversations you've had with some of your bigger partners and what their appetite going forward might look like?
Mark Miller: Yeah, Matt, thanks for the question. I've also got Brian Pattillo here with me. He's been a lot of the meetings with the carriers with me, and I would say honestly, on the home sign it's anybody's guess. it seems to be improving. They're opening up certain markets, but it's state by state, market by market, product by product. And on the auto side, we are seeing availability open up, but it's slow, kind of on a state-by-state basis as well. But I think we have to see what happens with the carrier profitability over more than just one quarter. And if the weather continues to hang in there like it has been, it could open up. But I don't have any better predictions than that.
Matt Carletti: I guess just drill down more specifically, kind of said state by state, are you, I mean, obviously Texas you've talked about in the past, that's a big state for you guys and obviously CAD impacted. Have you seen anything changing there in any way or just kind of more of the same?
Mark Miller: I mean, honestly, I think Texas is one of the more difficult markets right now. So price is catching up to where it needs to be. There's just uncertainty about the weather, but it's a, it is a big market for us and we still continue to sell insurance in Texas.
Mark Jones Jr.: Yeah, I would say, Matt, this is Mark Junior. It's not the whole state really. I mean, looking at Houston, there's much more reinsurance capacity for the type of catastrophic risk that happens there compared to DFW with the hail storms, it doesn't have the same type of reinsurance. So, it's not all one blanket thing for Texas, but our two biggest metros kind of have two different dynamics going on.
Matt Carletti: That makes sense. Appreciate the color. Thank you.
Operator: And thank you. And one moment for our next question. And our next question comes from Tommy McJoynt from KBW. Your line is now open.
Tommy McJoynt: Hey guys, thanks for taking my questions. Regarding the reiterated guidance for the margin to expand. Can you remind us if there are any notables or one timers in the second half of '23 that we should keep in mind for comparative purposes? And perhaps this can feed into what the reason is for most of your anticipated margin expansion to come in the fourth quarter rather than third quarter?
Mark Miller: Yeah, there's not really any one timers in the second half of 2023 from a comparison perspective, the Q4 guide is really just that's when we would expect if there's going to be material contingencies for it to happen at that point. And obviously those are 100% earnings. At the same time, we've got a big summer class starting in June. Some of them started in June. Another big class starts in July and then again in August and September. So that can cause a very short term drag. But they've been ramping up so well. Like we mentioned in our prepared remarks, they're coming down the learning curve even faster than what they have in previous years. So that gives us confidence that they can get margin accretive really quickly.
Tommy McJoynt: Okay, got it. And then switching topics last quarter, I think you spoke about a modest impact on the commission rates from a couple carriers in terms of what they compensated the agents. Did you see any of that same dynamic play out again? And along the same lines, how about sizing up the impact of policies that are, that head to state backed plans that generally pay lower commissions?
Mark Miller: Yeah. So we haven't seen other carriers changing commission rates. Now. On average, the commission rate has a slight decline. That's a function of writing in geographies that pay lower commission rates not necessarily a change. And more business going to like you mentioned state run plans that typically would pay a lower commission rate. So the average commission rate. Sure, because it's not going to the traditional carriers that are more like that 15% rate, it's more towards the state run plans. You can see a decline there. We would expect though that as those carriers come back into the market and get ready to grow, you could see improvement in that number.
Tommy McJoynt: Got it. Thanks for unpacking that.
Operator: And thank you. And one moment for our next question. And our next question comes from Brian Meredith from UBS. Your line is now open.
Brian Meredith: Yeah, thanks. A couple of questions here for you. The first one I just want to make sure. Thanks for the guidance. So it looks like we should expect revenue growth to kind of start accelerating pretty nicely third, fourth quarter is that an appropriate statement?
Mark Jones Jr.: Yes, we would expect that, especially on a core basis. I mean, the timing of the aggregate growth could move depending on contingencies, but core, we're expecting to see good acceleration.
Brian Meredith: Gotcha. And then back, I guess on the capacity situation, are you seeing any other carriers, any issues as far as carriers kind of coming, removing themselves from your markets or just getting out of markets?
Mark Jones Jr.: I would say the market ebbs and flows as carriers work their pricing and underwriting models. That's kind of a daily update thing, but we've got a really good sophisticated team that manages all of that and then integrates it with the tech. That's kind of what allows us to scale across the entire country.
Brian Meredith: Got you. But nothing like what happened in the first quarter?
Mark Jones Jr.: No, I mean the storms in Texas certainly didn't help, but at the same time it would be hard for it to get much worse than what it was in the first quarter.
Brian Meredith: Gotcha. And then my last. I'm just curious, I think I may have asked this before, but maybe remind me, what are your wholesale capabilities and is that something that you think you're going to see more and more homeowners business just stay in the wholesale market? Given this elevated CAD exposure and just regulatory constraints.
Mark Jones Jr.: I mean, we certainly write with some wholesalers. Obviously we tend to lean towards the admitted paper. It's just a smoother transaction for everybody. It scales a lot easier on the service side. It tends to be a better client experience, but when there's gaps in coverage in the admitted market, we will go that route as needed. I would expect over time it goes back towards more in the admitted market. Certainly, along the coast you're seeing a lot more ENS and wholesale product.
Brian Meredith: Would wholesale capabilities be something you consider doing? Let us start you on wholesaler.
Mark Jones Jr.: Yeah, we probably not start our own wholesaler, but we distribute through other wholesalers.
Operator: Thank you. And one moment for our next question. And our next question comes from Mark Hughes from Truist Securities. Your line is now open.
Mark Hughes: Yeah. Thank you. Good afternoon. I think you had suggested 400 corporate agents was the target. Was that by year end? Did I hear that properly?
Mark Miller: Yep, that's correct.
Mark Hughes: And then the corporate commission retention, I know you give your commission or your renewal or premium renewal numbers, looks like it really improved this quarter. And I hear what you're saying about maybe some early signs of relief in auto, but you look like you did a much better job kind of holding on to corporate commissions. If you look at kind of this quarter last year and how it flowed into this quarter, anything you would point to that may be kind of artificially depressed the first quarter and that kind of normalized in the second quarter, just anything else you might be able to throw into the mix thinking about that retention, and particularly on the corporate side of the business?
Mark Miller: Yes. I mean, we're starting to see the rate of decline in retention slow down. I mean, we mentioned at the end of the first call or the first quarter call that you could expect some more decline in the client retention number as the market begins to normalize. But we're starting to see the rate of decline slowdown, which really helps that revenue retention metric. And we had really strong pricing in the second quarter. I think premiums ran faster in the second quarter than they did in the first quarter.
Mark Hughes: Thank you very much.
Operator: And thank you. And one moment for our next question. And our next question comes from Katie Sakys from Autonomous Research. Your line is now open.
Katie Sakys: Hi. Thank you. Good evening. My first question is, on you guys perspective of margin expansion for the full year '24, I'm kind of curious, given that full year revenue and premium guidance has been reiterated but not changed, while productivity has certainly continued to improve, has management's view of the magnitude of margin expansion capable by year end shifted?
Mark Jones Jr.: Yes. I mean, we're not going to get into the specifics on margin from a guidance perspective. That's why we set it a kind of a broad and open-ended point like that, we want to have flexibility to make any investments that we need to make, but at the same time have the cost discipline to continue to drive expansion. Obviously, productivity helps. We feel really good about the way that our service team is scaling. We've made a lot of investments in technology that can help drive efficiencies. But like we mentioned, you should expect more of that margin expansion in the fourth quarter just as contingencies flow through. But that's probably as specific as we're going to get right now.
Katie Sakys: Fair enough. And then just going back to some remarks made in the prepared remarks, you mentioned targeting some key geographies for expansion of new franchises. Is there any more color you guys can give us on what states those may be or how those targeted geographies align with carrier capacity and propensity for new business right now?
Mark Miller: I mean, Katie, generally speaking, it's where product is good. I don't want to get into specifics on state by state, but certain states have better product availability right now. And so that's what we're focused on.
Katie Sakys: Fair enough. Thank you.
Operator: And thank you. And one moment for our next question. And our next question comes from Scott Heleniak from RBC Capital Markets. Your line is now open.
Scott Heleniak: Yes. Just a couple quick questions. The corporate headcount, you're talking about getting that over 400 this year. I think last quarter you said 375. So it's a little bit of an uptick, kind of what compared to what you had said before. And you're obviously doing this in a tougher market. Can you talk about the decision to increase that and what's kind of driving that? I think, Mark, you had mentioned some increased productivity of some of the newer classes. What's kind of driving that decision to ramp-up the hiring or just finding better talent than you had thought? Anything you can talk about there?
Mark Miller: Yes. This is Mark Miller, I'll start. I would say university recruiting is number one for us, and that's gone tremendously well this year. The limiting factor is really what quality can we find on the campuses? And that was really available this year. And second of all, our ability to absorb that capacity, which speaks to how productive the corporate agents are we have today. And can we take on new agents and not deteriorate productivity? And we're at a point where we feel like we've taken on a lot of the challenges we've had over the last couple of years, and it's performing really, really nicely and we can take on more agents. So, the 400 agents we've been to the college campuses, we've extended offers. We know the candidates are coming, so we decided to increase the number.
Mark Jones Jr.: Yeah. And they're doing a great job coming down the learning curve, which just gives you a little bit more confidence to add some more into the talent pool. Like we mentioned, they're ramping up better this year than they were last year. And last year's class was very, very good. So, it's interesting that they don't have any other historical context of what a really off market looks like. So they just go out there and find a way. They're doing a great job.
Scott Heleniak: Okay, that makes sense. And I wanted to ask you about the share buyback was pretty significant. Your stocks recovered quite a bit here. You mentioned the word opportunistic. Do you expect to be active in the second half of the year? Is there any comment? Or you're just going to see what the market does and make a decision then?
Mark Jones Jr.: Yeah, I mean, we'll be opportunistic if there's a market dislocation. So.
Scott Heleniak: Okay. Yeah, just finally, the last question was just on the quote to issue platform, you had some commentary there. Can you just give us a sense of how much premium is being bound on there and how that's ramped up and where you see that heading?
Mark Jones Jr.: Yeah, at this point, I don't want to give exact figures, but it has been exponential growth and I'm super pleased with the way we've implemented it across multiple carriers now. And the uptake from our agents and utilization of the platform is very good.
Mark Miller: Yeah, I mean, at this point the majority of our agents have found a policy through our QTI platform and the feedback has been really great.
Scott Heleniak: That's helpful. Thanks.
Operator: And thank you. And one moment for our next question. And our next question comes from Michael Zaremski from BMO. Your line is now open.
Michael Zaremski: Hey Greg, good afternoon. I have a question on kind of on your revenue growth rate versus the premium growth rate. And I know there's, you've unpacked a lot, there's a lot of moving parts, but I guess just at the highest level, we're only trying to forecast revenues and it's been actually pretty amazing watching your EBITDA margins grow despite your revenues divided by your premium rate compressing. And just curious so if I think out longer term, other than the contingent commission element, which is a small piece of total of revenues to get out to your kind of the 40% kind of long term goal for margins, or you can correct me if it's a little different than 40%, does that revenue to premium ratio need to move up materially or can you keep doing the positive things you're doing and still get to that long term margin goal?
Mark Jones Jr.: Yeah, Mike. So we would expect that you get the growth rates of premiums and revenue pointed in the same direction as you look at next year. As we went through this transformation over the last couple of years with new business going up and down and up and down. That's caused that gap between premium growth rates and revenue growth rates. That will not be an issue on a go forward basis and in the longer term, so to hit our top line growth numbers, you're going to need to get really strong premium growth which will convert to revenue growth. And to drive margin expansion, you got to keep an eye on every part of the business and make sure you don't have cost creep and you're continuing to drive scale. So, we want to do both. We want to grow really fast and we want to get good scale and deliver high levels of profitability.
Michael Zaremski: Okay, maybe a related question, thinking also kind of longer term or maybe you can give us perspective on historically, has Goosehead ever considered changing or has changed its commission structure a bit, as they kind of competitively, kind of assessing the environment in terms of kind of the new versus the renewal rates?
Mark Jones Jr.: No, I mean, our, our agents, I think, make significantly more money than the average, we believe at least the average insurance agent in the market. So I feel really good about the way our compensation is structured. It's truly a partnership with our franchisees. We're 50-50 on it. We're all aligned perfectly. And our corporate agents are making more money now than they ever have in their past. I mean, we've got a kid in his first year in our Denver office who's going to make over $200,000 because he is selling a lot of insurance. So, I don't know that there's anything we need to do to be more competitive. I think our tools give people the ability to be super successful.
Michael Zaremski: And I guess, Mark, you happen to have. Just curious, off the top of your head, maybe estimated like what you said, the average Goosehead agent you think makes more than the average, just US average. Do you happen to maybe know any of those stats?
Mark Jones Jr.: Yes, I don't have those stats off the top of my head, but I know that our Goosehead agents are 2.5 times more productive than industry best practice. And our average commission rate is higher than the average commission rate in the industry. That would lead you to believe pretty easily that our agents are making more money than the industry.
Michael Zaremski: Okay, that makes sense. Thank you.
Operator: And thank you. And one moment for our next question. And our next question comes from Paul Newsome from Piper Sandler. Your line is now open.
Paul Newsome: You guys hit most of my questions. Just one maybe follow up or expansion on the competitive environment. I think at one point it seemed like there were uneven amount of competition or lack of competition, particularly in home insurance, with some mutuals being rather aggressive, but the stock companies, not so much. Has that environment changed in the last quarter or so? Or is it still the case that there's maybe a couple of big carriers out there acting differently than the rest of them?
Mark Jones Jr.: Yeah, I would say we haven't really seen a shift in the home environment yet from what the environment was in the first quarter.
Paul Newsome: There you go. Thanks.
Operator: And thank you. And one moment for our next question. And our next question comes from Pablo Singzon from JPMorgan. Your line is now open.
Pablo Singzon: Hi. Thank you. First question, I'd be curious to hear what kind of housing or mortgage market conditions you're assuming in your guidance right. So I think now there's an expectation of interest rates to decline, and I was curious how that figures into your thinking about where the business is headed.?
Mark Jones Jr.: Yeah, I mean, we're not assuming that the housing environment gets any better in our guidance, our agents are doing a really good job going out and capturing more leads and because we're such a small percentage of the total market, there's plenty of share for us to go take. So we don't really need it to improve in order for us to achieve the goals we want to. But that would certainly be really helpful. I think that's definitely upside.
Pablo Singzon: Okay. And then secondly, as you add more producers to the franchisees, can you provide perspective on how these individual producers get compensated? Right. So the franchise level, I think the split is 80-50, but at the agent level, how do these folks get paid?
Mark Jones Jr.: Yeah. So that's ultimately up to the franchisee because they are their own business. We can provide them at least what we do on our side and talk to them about why that makes good sense. So typically, what you end up seeing is a franchisee who pays their employees relatively similar to the way that we would pay our employees, which would be 40% on the gross new business and 15% to 20% on the gross renewal. But ultimately that is up to them.
Pablo Singzon: Okay. And then lastly, just a quick numbers question. I think, Mark, you had mentioned 29% new business growth in the franchise channel. What is the growth number for the corporate channel?
Mark Jones Jr.: Same. Same store sales growth on the franchise side of the business was 29%. Sorry, go ahead. What were you saying?
Pablo Singzon: Sorry. Yeah. Maybe I quoted the wrong number. I think you had mentioned first year premiums, right? Or had you mentioned it at all? Or. I think, yeah.
Mark Jones Jr.: Franchise new business premium was up 29% in the quarter. I think the corporate number should be in the 10-Q.
Pablo Singzon: In the 10-Q. Okay. We'll just wait for it. Thank you.
Operator: And thank you. And I'm showing no further questions. I would now like to turn the call back over to CEO Mark Miller for closing remarks.
Mark Miller: Yeah, I just wanted to thank everybody for joining us for our second quarter call. As always, we appreciate your continued support. And we look forward to speaking to you on our next quarterly call. Thank you very much.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.